Operator: Good morning, my name is Keith, and I will be your conference operator today. At this time, I would like to welcome everyone to the Spectra Energy and Spectra Energy Partners Quarterly Earnings Call. [Operator Instructions]. Thank you, Julie Dill, Chief Communications Officer; you may begin your conference.
Julie Dill: Thank you, Keith, and good morning, everyone. My name is Julie Dill. I'm the Chief Communications Officer for Spectra and really appreciate you joining us today for our review of Spectra Energy's and Spectra Energy Partners' 2014 fourth quarter results and year-end results. With me today are Greg Ebel, CEO of both Spectra Energy and Spectra Energy Partners; and Pat Reddy, Chief Financial Officer of both companies. Pat will go through our results for the quarter and the year and then Greg will wrap things up with some closing thoughts on 2014. And as always, we'll leave plenty of time for your questions related to our 2014 results following Greg's remarks. Our Safe Harbor statement is contained within our presentation materials and available on our websites. This disclaimer is important and integral to all of our remarks, so I would ask that you refer to it as you review our materials. Also contained in our presentation materials are non-GAAP measures that we reconcile to the most directly comparable GAAP measures and those reconciliations are also available on our website. So with that, let me turn things over to Pat.
Pat Reddy: Okay, thanks Julie and good morning, everyone and thanks for joining us today. As you saw in our earnings release this morning. We had a strong finish to 2014, which puts us on a solid footing as we enter 2015. A robust finish for the year underscores a couple of key points. First, [indiscernible] our ability to manage the various business and market cycles including the current lower commodity cycle that began in the fourth quarter. Thanks to a diversified portfolio, healthy balance sheet and sound business model. Importantly, the success we had last year in executing on our expansion plans, securing contracts and safe guarding our credit metrics and financial flexibility provides us with a strong platform to build on and you'll hear more about that when we review our new three-year plan with you tomorrow. So I'll speak more to the full year shortly, but let's start with our fourth quarter results, which are shown on Slide 3. Spectra Energy generated ongoing EBITDA of $180 million compared with $798 million in the prior year's quarter. On a standalone basis, SEP delivered ongoing EBITDA $424 million, $72 million higher than in the same period last year. The key drivers for the positive change in Spectra Energy's EBITDA quarter-over-quarter are increased earnings of $75 million at Spectra Energy Partners compared with last year, mainly driven by expansion projects that generated about $30 million, primarily on our Texas Eastern System. Projects like TEAM 2014 and TEAM South, which were put into service during the fourth quarter, by helping transform Texas Eastern in a bidirectional system and are underpinned by firm long-term fee-based contracts. Increased earnings at SEP also reflect higher equity earnings due to the continued ramp up of volumes on a Sand Hills and Southern Hills NGL pipelines and higher crude transportation revenues resolving mainly from higher average tariff rates on the Express pipeline. Our distribution segment reported EBITDA that was $24 million lower than the same period last year, due mainly to the effect of weaker Canadian Dollar and lower customer usage as a result of weather that was 6% warmer compared to the prior year quarter. Moving to our Western Canada business, we reported $35 million increase in EBITDA over the prior year quarter. Segment results were higher due to improved earnings from the Empress processing facility due to largely to non-cash mark-to-market gains associated with the risk management program, we implemented early in 2014. Partially offset by lower NGL sales prices in the fourth quarter of 2014. Gathering and processing revenues were higher as well, but were partially offset by the effect of the weaker Canadian Dollar. Let me take a moment to talk about Empress which recorded a $143 million EBITDA for the full year significantly exceeding both our 2013 results and our 2014 expectation of $80 million. This outperformance was a result of non-cash gains related to our risk management program on a cash basis, we recognized $83 million as there was a decoupling of cash and EBITDA attributable to the drop in NGL prices in the fourth quarter. So let me leave you with three key takeaways on Empress. First the strong non-cash mark-to-market gain for the quarter is a good indication of how hedged we're going into 2015. Second, there will likely be some accounting noise in 2015 as the hedges roll off and commodity prices move and cash will be realized as the contract settled. Third and the bottom line is, we continue to expect Empress to contribute between $30 million and $50 million of cash on a go forward basis and cash of course is what we're focused on. Moving on, let's turn now to Field Services. Our 50% share of equity earnings was a loss of $18 million for the quarter, $90 million less than last year's quarter. As noted in footnote number two on Slide 3, while Field Services result show up in our EBITDA, the number actually represents our share of DCP Midstream's Earnings Before Taxes or EBT. Just as a note, DCP's EBITDA on a standalone basis was $246 million for the quarter. The decrease at Field Services was primarily attributable to lower NGL and crude oil prices and the increase in non-controlling interest as a result of continued asset drop-downs to DPM. The decreases were partially offset by incremental earnings associated with expansions. During the fourth quarters of 2014 and 2013 respectively. DCP's realized NGL prices averaged $0.68 per gallon versus $0.99. NYMEX natural gas averaged $4 per MMBtu versus $3.60 per MMBtu and crude oil averaged $73 per barrel versus $97 per barrel. While DCP saw decline in commodity prices in the quarter. It's worth noting that the full year average price per NGL's was $0.89 only $0.05 less than our original pricing assumption for 2014 and crude oil averaged $93 a barrel compared with the $95 we originally, assumed. At these price levels, DCP standalone EBITDA was almost $1.2 billion for the year. I'll also note that during the fourth quarter, we completed the second step in our three-part drop-down of the Southeast Supply Header System moving it from Spectra Energy Other to the U.S. Transmission line. Let's now turn to distributable cash flow and cash contributions for the quarter, as shown on Slide 4. Spectra Energy's DCF for the quarter was $316 million compared with $315 million in last year's quarter. DCF for the year was $1.46 billion up $168 million from 2013 with strong dividend coverage of 1.6 times, well above our 2014 targeted 1.4 times. You'll note, we've included Empress's non-cash items on this slide and you will see that going forward. Turning to Slide 5, distributable cash flow to SEP was $245 million for the quarter. As a reminder, when dropped the remaining U.S. Assets into SEP in November, 2013. We recast earnings, but not distributable cash flow. You'll note that interest expense with SEP was down $29 million in the quarter which was due mainly to the restricting of intercompany loan contributed to Spectra Energy Partners as part of the drop-down, along with lower average debt balances. SEP ended the year with DCF of almost $1.1 billion and strong distribution coverage of 1.2 times, which was also above our original expectation of 1.1 times. Moving to Slide 6, Spectra Energy received General Partner and Limited Partner distributions from SEP for the quarter of $47 million and $137 million respectively. For the full year, we received GP distributions and LP distributions of more than $700 million from SEP. For the quarter, DPM paid General Partner and Limited Partner distributions, the DCP Midstream of $15 million and $9 million respectively. For the full year, DCP received GP distributions at $52 million and LP distributions of $35 million from DPM. You'll recall that in the third quarter, we began providing DCP's distributable cash flow in our quarterly earnings materials, as we had changed the distribution policy from 90% of DCP's net income to maintaining distribution coverage of 1.1 times cash flow. At a 50% level, DCP standalone distributable cash flow was slightly negative for the quarter, mainly as a result of lower NGL and crude prices. For the year, Spectra Energy received $237 million of cash distributions for DCP, but here's an important point. This stop-loss effect on Spectra Energy's DCF related to DCP because distribution from the partnership can't drop below zero and while it may seem counterintuitive lower DCP earnings result in lower cash taxes at Spectra Energy. So there is actually a positive offset in our DCF. All in all, we had a strong fourth quarter and an exceptional year. Our success story continues to revolve around solid performance by our fee-based businesses and our expansion efforts especially at SEP and the resulting growth and earnings in cash flows. We are positioned extremely well to continue to deliver value to our shareholders going forward. Greg's going to highlight our key success for the year, but from a financial perspective I'll note that we have excellent cash coverage for our dividend. For Spectra Energy, we ended 2014 with coverage of 1.6 times exceeding our original estimate of 1.4 times. This additional margin of coverage supports the $0.14 per share increase in our annual dividend that we announced late last year. Even in the lower commodity environment, we're currently experiencing. Positive credit metrics and investment grade balance sheets at both Spectra Energy and SEP. Spectra Energy ended the year with a debt-to-cap ratio of 58% identical to a year ago and we exceeded expectations with respect to our 2014 debt-to-EBITDA ratios. With Spectra Energy ending the year at 4.7 times and SEP at 3.7 times. Lastly, we have a multiple ways to finance our drive to $35 billion. With SEP as the primary vehicle to fund the majority of growth CapEx that is currently in execution. One of those options is the ATM program that we had underway at SEP since last year and which we used to raise about $330 million of equity. We clearly are very pleased with what we accomplished in 2014; I'll look forward to talking with you tomorrow about our outlook for the next three years. So with that, let me turn things over to Greg.
Greg Ebel: Well, thanks very much Pat and good morning to everybody on the line. As you heard from Pat, Spectra Energy delivered impressive results in 2014, which really provides us a great platform to get into 2015. We're very pleased with our performance for the year and our record of executing on growth opportunities that drive our earnings and cash flows, now and well into the future. A track record shows that we deliver on our promises, throughout all market cycles and in 2014, we even surpassed our own expectations. We beat our 2014 DCF expectation by nearly 19% at Spectra Energy and 14% and SEP. We beat our dividend and distribution coverage targets for both Spectra Energy and Spectra Energy Partners and ended the year with coverage ratios of 1.6 times and 1.2 times respectively. We improved our annual dividend growth to $0.14 per share up from our original plan and commitment to investors of $0.12 per share and we continue to increase the quarterly distribution at SEP. Announcing our 29th consecutive quarterly increase just this morning. An unit holders will be pleased with the fact that, we increase quarterly distribution by a $0.01 and a $0.25 per unit; up from $0.01 increase they received in recent quarter. Our financial results really reflect our ability to reliably execute, operate and expand our project and assets. We placed almost $800 million of projects into service during 2014, project like TEAM South and TEAM 2014 and U.S. Transmission and our liquids business expanded its Buffalo [ph] storage multi-facilitate deliveries to a new refinery customer. Western Canada also plays the North Montney project into service, which expanded processing capacity in the region under long-term contracts to meet incremental customer needs. All of these projects exemplify our ability to optimize our existing footprint to provide an earnings growth and meet customer needs. We secure an additional $3.5 billion in new growth projects supported by firm fee-based contracts, projects like our Dawn-Parkway expansions Stratton Ridge, Access South, Adair Southwest, Atlantic Bridge and of course NEXUS. We received record send outs throughout our system on Texas Eastern, Algonquin, East Tennessee, Platte, Union Gas, Western Canada and Maritime Systems. Indicating our customer uses and most importantly value capacity on the day they needed most. Most importantly, as a company we realized our all-time best record for safety. Responsible development of new projects, safe reliable operations, strong consistent earnings growth and cash flows, premier asset positioning and connectivity that take us where the life are and attract them for liable dividend and distribution increases for investors through at all market cycles, although hallmarks of Spectra Energy. Overall, we had a strong finish to 2014 and importantly, it provides us with a solid financial and operational platform as we move into 2015. I want to keep things very brief this morning, as our strong results really speak for themselves. Of course, you'll hear plenty from myself and the team tomorrow as we'll speak at length about our 2015 to 2017 plan and our ability to manage through this lower commodity cycle. Well continuing to meet or exceed the commitments we've already made to investors, but for now let's take your questions on the strong Q4 and 2014 year-end results. Julie?
Julie Dill: Thank you, Greg. We'd like to hear from you now. So we'll open the lines for your questions and I'm going to ask you to please restrict your questions to only our fourth quarter and year-end results as we've got plenty of time in the morning to discuss our 2015 outlook in plan. So Keith, if you would please provide instructions on folks can ask questions, I'd appreciate it. Keith? Alright.
Operator: [Operator Instructions] your first question comes from the line of Darren Horowitz from Raymond James. Your line is open.
Darren Horowitz: I appreciate you running through the detail on you know the composition of numbers on the drivers. I just had one quick question and I know you're going to get into a lot more detail about this tomorrow, but in the prepared commentary with discussion around the Express-Platte expansion, you had talked about the re-scoping of that Wyoming to Illinois pipeline impossibly incorporating those volumes into the opportunity between the system. I was just curious within that commentary, if that changes either your CapEx are scalable ultimately how large this system could be or if you could just roughly quantify the re-scoping as a result of the recent shipping commodity prices?
Greg Ebel: Well you're right, you'll hear a lot about that tomorrow and it doesn't change the ultimate capacity. I think what you're seeing is and that really doesn't impact our 2015 to 2015 forecast, we'll get into tomorrow, but the very big projects Darren. I mean, I wouldn't expect that every month commodity prices stay where they are kind of a final decision on those projects moves out by a month, if you will, but we had expected those projects to kind of get secured towards the latter half of the decade. I'd still expect that to be the case. Again, if you're going to assume commodity prices stay very low for a long period of time. I guess you could question that, but remember that's not really what those pipes are doing. What those pipes are doing is taking advantage of the differential. The existing Western Canada for example and getting those to higher price market. So you know for Western Canada that just for a simplicity at $50 and $55, you can get it in Wood River, Patoka or the Gulf, you're still going to try to find a way to capture that Delta. So I don't think it ultimately changes the size of those projects and I think, what we're really discussing is that, when those projects move into a final investment decision.
Darren Horowitz: Okay and then just as a quick follow-up and this was actually something that happened throughout the course of the fourth quarter, but I'm just curious with the new committed contracts that you had signed on Express, there was some commentary that the committed totals [ph] were coming at higher rates and I was curious if you could just quantify the variance?
Greg Ebel: I don't know that I've got that number for you, but I can get it for you then. I think, they have inflaters [ph] to them and I think the inflater [ph] was in the 4% range for this year.
Darren Horowitz: Okay, that's all I had. I appreciate catching up in more detail tomorrow. Thank you.
Greg Ebel: Thanks.
Operator: Your next question comes from the line of Danilo Juvane from BMO Capital. Your line is open.
Danilo Juvane: Good morning.
Greg Ebel: Good morning, Danilo.
Danilo Juvane: I just wanted to follow-up on a couple of questions on the quarter. So at Union Gas, can you guys quantify what the weather impact was and how it sort of compared relative to normal expectation?
Greg Ebel: Yes, it was little warmer than the year before, not way off, those around $5 million was the impact on the downside from weather. Remember as we, you'll remember the winter of 2013, 2014 Danilo was extremely cold. So we weren't far off of normal, in fact maybe even the slightly.
Pat Reddy: Though interestingly, that we were pretty much at normal, we were 6% warmer than the prior year quarter, but 7% colder than the prior year for the whole year. So the distribution during the year was kind of odd.
Danilo Juvane: Okay, great. I appreciate the colour. Moving on the SEP, obviously the fourth quarter was strong because of the expansion project that you sort of mentioned there. Can we expect the fourth quarter to sort of reflect a similar run rate, how should we think about sort of rebasing 2015 I guess based on how this quarter performed?
Greg Ebel: Well, Danilo if you let us, we'll spell that all out for your tomorrow, but I think you're hitting on the right theme. You know the expansion project is coming in, I think you should expect to see the benefits of that playing right through the planned period.
Danilo Juvane: I guess, were there any impacts from interruptible transportation as well or was it strictly fee-based volumes.
Greg Ebel: Well, we always get a little bit interruptible, but it was not a significant amount. You know, we're talking well under $5 million.
Danilo Juvane: Okay, that's it from me. Thanks guys.
Greg Ebel: Okay, thanks Danilo.
Operator: Your next question comes from the line of Craig Shere from Tuohy Brothers. Your line is open.
Craig Shere: I just had a quick question on the tax rate. It seemed, what was it 17% versus 23% to prior quarter. Can you give a little more colour on that?
Pat Reddy: Sure, so with respect to the tax rate. We had as a result of the big drop-down, the rightful drop-down a recalibration have stayed income taxes and it has to do with the distribution of income across the different states. So it was a current tax effect and also revaluation of deferred taxes to take into account the lower STEP to lower in tax rate blended through the states. So it's really a combination of those two things, Craig.
Craig Shere: Oh! Okay, so this is nothing ongoing in that whole DCP tax issue, talked about as is really a parent level DCF issues it's not a net-net statutory rate that you realize?
Pat Reddy: Well, with respect to the adjustment for the state tax, that was a catch up all in one quarter and it did look back over a couple of years. So you're right about that, that wouldn't affect our ongoing run rate and we will publish our expected cash tax rate for the three years of our plan tomorrow.
Greg Ebel: But none of that impact is related to DCP.
Pat Reddy: No, it was not.
Craig Shere: Okay, great. Thank you very much, look forward to tomorrow.
Greg Ebel: Okay, thanks Craig.
Operator: Your next question comes from the line of Christine Cho from Barclays. Your line is open.
Christine Cho: Good morning. I just want to.
Greg Ebel: Hi, Christine?
Christine Cho: Hello. I just wanted to make sure; I understand this correctly at Western Canada. The non-cash mark-to-market gains are tied to whatever volumes you have hedged going forward. Correct?
Greg Ebel: That is correct.
Christine Cho: Okay and then, just theoretically is the market liquid enough to hedged beyond one year or not really?
Greg Ebel: We typically, there's two effects here. One obviously it is very liquid beyond say 12-month to 18-month period so, you're right that mark and the positive mark is indicating the positive value, the hedges we put in place in 2014. In 2015 and out into 2016 as well, but the vast majority that would be in 2015, Christine. Partially its liquidity, but the [indiscernible] contact structure is work at Empress, right? You're bring in stuff in each year and year, matching up with the sales and most of contracts that Empress would run in that 12-month to 18-month period.
Christine Cho: Okay, now if even if back that out, I still get that Western Canada looks like it was a beat and it looks like it, sounds like it's from gathering and processing. Revenues being higher, so that to me seems to indicate that activity was higher, since commodity prices were down. Can you just talk about like the dynamic that's going on up there? What's encouraging producers to actually increase their activity rather than decrease?
Greg Ebel: Well, it's combination, see you're right. It's not necessarily so much an increase in activity, but an increase of interruptible. So you know the amount of throughput we realize on interruptible basis. So people who are producing gas want to keep producing that gas, they're less likely to shut in versus people that going out and spudding [ph] new wells etc. We had them through the fourth quarter, seeing any real run off from an activity perspective. I think as you won't be surprised Christine you know it takes 4 to 6 months for some of those activity impacts to start kicking in. so I'll talk about this a bit tomorrow, but again you still have largely a fee-based nature of our G&P activities up there. So there is two elements. One people wanted to use interruptible as oppose to committing to new projects that maybe others were proposing and two, we'd still have fee-based contracts up there for the vast majority of what we do in the G&P side of things being there, more like pipeline contracts here in the United States, so people still have to pay us. So, the activity impacts are much more spread out from Spectra Energy perspective than what you might see on the E&P side or versus what you might see down here in United States, that makes sense?
Christine Cho: Yes, is there a big backlog of work that still need to be connected to infrastructure or not really?
Greg Ebel: No, I wouldn't go that far. I would say, it's again more people that are have done work in 2013 and 2014 and maybe are close to completing and still wanting to be able to flow that gas, right. I mean, you're not going to close in wells that are already would be, that would be far out, in the trial of your options, closing wells that are already producing, but you might not want to sign up for new contracts instead, you're going to use existing assets, which is exactly our advantage, right? We process 6% of the gas in Greatest Columbia so as oppose to working with maybe some smaller players or committing to new plants, you'll use interruptible services that places like Spectra Energy to the extent we have capacity available in those areas.
Christine Cho: Okay and then last question from me and this is just sort of an accounting question. When I look at your Spectra Energy Corp, DCF table. The distribution from and consolidated affiliate, it looks like it was $107 million for the quarter. Historically, I thought that the bulk of the cash that came from this was from DCP. Am I incorrect in thinking that way?
Greg Ebel: Well, that is high, that's why you see it. That's correct.
Christine Cho: So, I guess I'm just, I saw it given the loss for the quarter at the DCP, you wouldn't take a cash distribution from DCP. Was there?
Greg Ebel: Well, two things are the distributions tend to run a quarter lag.
Christine Cho: I see, okay.
Greg Ebel: So really, what you would have seen pick up in the.
Pat Reddy: The cash we've received in the fourth quarter was from the third quarter declared distribution. So the fourth quarter distribution that would have been declared for payment in the first quarter of 2015, we won't be taking.
Christine Cho: I see, okay. Thank you.
Operator: There are no further questions at this time. I'd like to turn the call back over to Ms. Dill.
Julie Dill: Thank you, Keith and again, thanks to everybody for joining today. We really hope to see or hear from your tomorrow, when we roll out our 2015 business outlook and our three-year financial plan, during our Analyst and Investor meeting. So again, for information on participating in our investor meeting via the phone or the internet. Please visit the investor section of either spectraenergy.com or spectraenergypartners.com. As always if you have follow-up questions, feel free to give Roni Cappadonna or I a call. We may not get back to you right away, as we are travelling today, but we'll circle back with you as soon as we can, so thanks again for joining us, and we'll see you tomorrow.
Operator: This concludes today's conference call. You may now disconnect.